Operator: Greetings, and welcome to the Benefitfocus First Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I now like to turn the conference over to your host Michael Bauer, Senior Director of Finance and Investor Relations. Thank you. You may begin.
Michael Bauer: Thank you, operator. Good afternoon, and welcome to Benefitfocus's first quarter 2019 earnings call. We will be discussing the operating results announced in our press release issued after the close of market today. Joining me today are Ray August, our President and Chief Executive Officer; and Jonathon Dussault, our Chief Financial Officer. Ray and Jonathon will offer some prepared remarks, and then we will open the call up for a Q&A session. Before we begin, let me remind you that today's discussion will include forward-looking statements, such as second quarter and full year 2019 guidance and other predictions, expectations and information that might be considered forward-looking under Federal Securities Laws, including statements about our positioning for the future. These statements reflect our views as of today only and should not be considered as representing our views of any subsequent date. These statements are subject to a variety of risks and uncertainties, including our continuing losses and need to achieve GAAP profitability, the fluctuation of our financial market results, the immature and volatile market for our products and services, recruitment and retention of key personnel, risks associated with acquisitions, the need to innovate and provide useful products and services, our ability to compete effectively, cybersecurity risk and a changing regulatory environment that could cause actual results to differ materially from expectations. For a further discussion of the material risks and other important factors that could affect our actual results, please refer to our Annual Report on Form 10-K and other SEC filings. During the course of today's call, we will also refer to certain non-GAAP financial measures. You can find important disclosures about those measures in our earnings press release. I'll now turn the call over to Ray.
Ray August: Thank you, Mike. Good afternoon, everyone. There are three key points to take away from today's call. First, for the sixth consecutive quarter, we are delivering on our commitments. For the quarter, total revenue was at the high-end of our guidance and we exceeded our profitability guidance. We are well positioned for accelerated growth in the second half of 2019. Second, we have grown the number of lives on our platform with more than 25 million consumers now connecting through the Benefitfocus platform. Our pipeline for lives growth is stronger than ever, our key metric of net benefit eligible lives increased from 11.8 million at the end of the prior year to 15.5 million lives at the end of Q1. And, third, we expect the average revenue per user, or ARPU, to expand throughout 2019. Expanding ARPU is one of our top strategic objectives and we are delivering on this in multiple ways by adding new product offerings on the platform, by improving interactions with consumers in the moments that matter, and by expanding BenefitsPlace access through our medical carrier customers. We are set up very well for growth in the back half of the year. All of these factors move us towards our goal of being the benefits platform that connects buyers and sellers. Our strategy is resonating, our ecosystem is flourishing and our market position is strengthening. We have three strategic priorities; growing our platform, advancing our market leadership, and strengthening the core of our business. Let's start with how we're growing our platform. We continue investing in our sales engine by executing on our diversified growth strategy, by driving high-quality pipeline expansion and future lives growth, by improving our go-to-market capabilities, and by expanding our broker presence. We ended Q1 with over 300 premier brokers, up from roughly 100 at the time of our Q4 earnings call at the end of February. Our decision playing field for all brokers is paying off. As we explained in our last call, while the renegotiation of the Mercer agreement will have a short-term impact on our 2019 revenue, we are confident in the longer-term value of expanding our influence with this critical segment of the ecosystem. In fact, we have meaningful broker-driven pipeline that we would not have had without making this pivot. Our expanding group of premier broker partners is helping us quickly scale, better penetrate the large employer market and, we believe, drive BenefitsPlace product adoption over time. BenefitsPlace is a key driver of ARPU expansion and in Q1 our momentum continued to strengthen. As highlighted at our Investor Day, we have multiple levers to drive BenefitsPlace growth and use our 5P model to measure progress against our growth strategy, adding lives and increasing ARPU. As mentioned, we ended the quarter with 15.5 million net benefit eligible lives. The integration of the acquired Connecture commercial software assets added approximately 2 million net benefit eligible eyes on the platform. In 2018, initial access to BenefitsPlace was only offered to certain large employer customers. This meant that less than half of our net benefit eligible lives had access to BenefitsPlace in 2018. This is now changing. In Q1, we broadened our reach by successfully enabling BenefitsPlace for a key medical carrier customer. We believe this carrier deal will significantly expand ARPU. Going forward, we are focused on bringing BenefitsPlace to medical carrier customers, specifically Blues plans, carrier interest and demand to provide more benefit options to their members is high. The pipeline for BenefitsPlace down market is robust. Both are partially fueled, backed by our recent acquisition of certain assets of Connecture's commercial software solutions business. During the quarter, we continue to grow our BenefitsPlace product offering. We've made significant progress against our TAM expansion goals that were showcased during Investor Day in December. In Q1, we became the first benefits platform in the industry to add personal lines, auto and property insurance to complement our health, wealth, and lifestyle categories. We signed two of the three largest group personal auto insurers, MetLife and Liberty Mutual. We also signed Bristol West insurance, which is part of the Farmers Insurance Group. This is a significant expansion of our opportunity as last year over $200 billion of net premiums were written for private passenger auto in the United States. We also introduced Toggle, another Farmers Insurance Company for renters insurance by adding personalized auto and property insurance to our existing categories in BenefitsPlace we are quickly enhancing the value of our platform, doing exactly what we said we would do. In Q1, we added nine other BenefitsPlace suppliers, including our eleventh L&A carrier, MassMutual, and four new specialty suppliers, which brings our total to 28. We continue to expand our inside sales and premier broker footprint to help HR leaders best serve their multi-generational workforces with relevant products. This was a focal point at One Place. In March, we hosted our most successful One Place event with attendance 40% higher than last year. For two days, our ecosystem and prospects collaborated and learned. On day three, we help put our knowledge into action and hosted the industry's largest Open Enrollment Planning session with 89 employers, which represented millions of consumer lives. Feedback has been terrific and the vast majority of employers who attended One Place are engaged in the buying process with us. The Benefitfocus platform has unmatched engagement and participation. Our Open Enrollment experience last year proved that voluntary benefits participation among our employers with access to BenefitsPlace was materially higher than the industry average. We fully expect this to be the case this year and will drive accelerated revenue growth in the second half of the year. Now, let's turn to our second priority and discuss how we are advancing our market leadership. We are accelerating the network effect of our platform and demonstrating to the market our continued constructive disruption and improvement of the sector. At One Place, we launched multiple solutions that improve the consumer experience and reduce complexity. A key announcement was the launch of BenefitSAIGE, our artificial intelligence engine that provides automated wisdom throughout our platform. BenefitSAIGE is truly disruptive. It takes guesswork out of benefits, it leverages our massive amount of healthcare, carrier, and payroll data. BenefitSAIGE uses data analytics and user preferences to identify Smart Moments to help consumers select the benefits that are most relevant and a chatbot to assist them 24/7/365, and it provides dashboards and key metrics to HR executives. This means better enrollment tracking, benefits adoption, measurement and industry benchmarking. At One Place, we also announced the enhancement of the consumer benefit experience with the launch of our next generation mobile app, enabling a year round contextual conversation, making it possible to shop 52 weeks of the year for voluntary benefits and creating the Benefitfocus wallet, which lets consumers by benefits quickly with flexible paymentmethods in addition to payroll deductions. Our goal is to create and enable the next generation of benefits offerings. To help achieve this, in Q1, we introduced InnovationPlace, our new startup partner program designed to find the best and most innovative suppliers in the market today. In the first quarter, we onboarded our first test company, which is focused on women's health and fertility, and we are actively looking for additional innovators to join the program. Now, let's turn to our third priority, strengthening the core of our business. In Q1, we executed well against our stated financial commitments and remain on track to generate free cash flow for full year 2019. Revenue was at the high end of our guidance range with our high margin software services revenue growing double-digits in the quarter. We exceeded our profitability guidance and compared to the prior year period expanded our gross margin by over 250 basis points and our adjusted EBITDA nearly 700 basis points. Our multi-year investment in data has been a key driver for improved profitability and has deepened differentiation resulting in higher customer satisfaction. This is critical for the benefits ecosystem as data accuracy impacts medical insurance and payroll files. When these files are incorrect, the impact and cost to the ecosystem can be significant. To measure data accuracy, the industry uses first-pass yield, which queries if data is correct on the first transmission. The industry average for first-pass yield is approximately 95%. This means that in 10,000 person firm, 500 people will have incorrect data. Given our investments, Benefitfocus is proud to demonstrate our first-pass yield of 99.6%, driving confidence in our brand. We are pleased with our solid start to 2019 and we are entering our selling season with a solid foundation, a strong pipeline and demonstrated results, adding lives and expanding ARPU opportunities. We have strengthened our sales engine and have delivered innovation that enhances our leadership position. We will continue to grow our platform and drive shareholder value. Before I conclude, today I am also announcing that Jonathon Dussault, our CFO, has decided to leave Benefitfocus for personal reasons. I want to thank Jonathon for his many contributions to Benefitfocus. Jonathon will remain with the company through the end of August and ensure an orderly transition of his responsibilities. Under Jonathon's leadership, he and his team have been instrumental in our business transformation, six quarters of execution and strengthening our financial fundamentals. We wish him well on his future endeavors. We will begin our search for his permanent replacement immediately. I'm pleased to announce, beginning June 1, Lou Anne Gilmore will be appointed our Interim CFO. Lou Anne is currently our VP of Corporate Development and let our activities related to the Connecture acquisition. She brings over 35 years of Executive Finance experience and was previously CFO for a $5 billion division at CSC and VP of Development at Lumeris, a Medicare Advantage provider. I've worked with Lou Anne for almost 20 years and I have the utmost confidence in her ability to lead our finance team. I look forward to sharing updates with you in the future. With that, I'll hand it over to Jonathon.
Jonathon Dussault: Thank you, Ray. My decision to leave Benefitfocus was not easy. I want to thank Ray personally for his partnership and also express my appreciation to the entire Benefitfocus team. I'm proud of the accomplishments of the finance team and I'm confident that Benefitfocus is poised to continue the successes that I've been a part of over the last couple of years. I'll now review the details of our first quarter financial results and then provide guidance for Q2 and fiscal 2019. Turning to Q1, it was a solid quarter for Benefitfocus. Our teams executed well and our results met or exceeded our targets. Total revenue for the quarter was $68.3 million, an increase of 10% compared to the first quarter of 2018. This was at the high-end of our prior guidance range and was driven by software subscriptions and the BenefitsPlace revenue. As indicated at our Investor Day, to better map our financial reporting with our platform strategy and how we manage the business, in 2019, we will no longer provide revenue by employer and carrier segments, we will continue to provide updates on our financial performance by revenue types. Total software services revenue was $53 million, an increase of 10% compared to the prior year period and reflects contributions from both subscription and the BenefitsPlace. Total professional services revenue was $15.3 million, an increase of 8% over Q1 2018. GAAP results for the quarter include gross profit of $35.4 million, representing a margin of 52%; software gross profit of $36.4 million, representing a margin of 69%; and an operating loss of $9.1 million, contributing to a net loss per share of $0.44. This reflects an increase in G&A expense resulting from deal costs associated with the secondary offering of shares that were owned by Goldman Sachs and Mercer, the implementation of new lease accounting rules and our recent Connecture acquisition. Non-GAAP gross profit totaled $36.4 million or a 53% non-GAAP gross margin. This compares favorably to the 51% non-GAAP gross margin in Q1 2018. Non-GAAP software gross profit was $36.9 million or 70% non-GAAP gross margin. This is up from the 68% non-GAAP gross margin in Q1 2018. Similar to prior quarters, the over 190 basis point improvement in non-GAAP software gross margin and the over 250 basis point improvement in consolidated non-GAAP gross margin reflects the combination of our purposeful shift towards higher margin subscription and BenefitsPlace transaction revenue, improved operational efficiencies, driven by our focused data investments in increased automation, which benefits both our software and services line items and our platforms inherent operational scale. We also continue to drive consistent improvements in our adjusted EBITDA results. Q1 adjusted EBITDA was $3.6 million or 5% of revenue. This exceeded our guidance and compares favorably to the negative 2% of revenue in Q1 2018. Our adjusted EBITDA was positively impacted by our recurring revenue growth, our gross margin expansion, increasing operational scale and the timing of certain investments. Non-GAAP net loss was $6.7 million, which compares favorably to the $8 million net loss in the year ago period. Moving to the balance sheet. We ended Q1 with cash and cash equivalents of $144.2 million, which is down from $190.9 million in the prior quarter and reflects the acquisition of certain commercial software assets, Connecture, and the use of cash in the quarter. Total deferred revenue increased $1 million sequentially to $46.9 million. The primary driver of the increase was related to the Connecture acquisition, which offset the ongoing shift away from our traditional large carrier service contracts and our strategic focus on driving repeatable transaction-based revenue. On to the cash flow statement. Free cash flow, a non-GAAP measure that we defined as cash provided by or used in operations, plus purchases of property and equipment, was negative $23.4 million [indiscernible] (20:47) expectations and reflects the timing of working capital, seasonality associated with Q1 pay periods, our One Place user conference, and the timing of 2018 bonuses. Importantly, we remain confident in our ability to generate free cash flow for the full year 2019. Now, let's move to the guidance. For the second quarter of 2019, we are targeting total revenue of $66.5 million to $68.5 million. Embedded in our Q2 revenue growth are headwinds from Mercer, timing of professional services revenue and the second half weighting of enterprise go-live and BenefitsPlace revenue. From a profitability perspective, we expect adjusted EBITDA of negative $5 million to negative $3 million, a non-GAAP net loss of $15 million to $13 million, and a non-GAAP net loss per share of $0.46 to $0.40 based on 32.6 million basic and diluted weighted average common shares outstanding. As Ray highlighted, we are confident in our ability to accelerate our revenue growth and margin expansion in the second half of the year. For the full year, we are reiterating our existing 2019 revenue and adjusted EBITDA outlook. This includes total revenue in the range of $301 million to $309 million and adjusted EBITDA of $15 million to $20 million. We also expect non-GAAP net loss of $27 million to $22 million, which represents a non-GAAP net loss per share of $0.83 to $0.68 based on 32.5 million basic and diluted weighted average common shares outstanding. In closing, our team executed well in Q1 and we are entering our selling season with a solid foundation and strong pipeline. We are confident that by executing on our three strategic priorities of growing our platform, strengthening our core, and advancing our market leadership that we are well positioned to add live, expand ARPU and drive shareholder value. With that, we are now ready to take your questions. Operator, please begin the question-and-answer session at this time.
Operator: Great, thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] Our first question is from Brian Peterson from Raymond James. Please go ahead.
Brian Peterson: Good evening, gentlemen, and thanks for taking my question. So wanted to start on the 2019 outlook. You're reiterating that it looks like that implies a second half ramp in revenue growth, can you help us understand what gives you the confidence in that ramp?
Ray August: Yes. Thanks, Brian. We're actually really proud of our results so far. As an overall business, we're executing exactly what we said we're going to do. We've had sixth consecutive quarters of meeting or exceeding all of our targets. And as a company, we're much stronger today than we ever have been before. If you look at our overall cash position, our accelerating revenue growth, the fact that we have 70% software gross margins this quarter, our growing EBITDA, from a financial standpoint we feel very, very good. If you take a click down and look at our overall business fundamentals and the way we model our businesses, the number of lives times ARPU, we've grown a number of lives by 31% and our organic lives are also accelerating compared to the year ago period, 14% versus 13%. So we're seeing really strong growth in our lives, both organic and inorganic. And what's most important is every one of those lives represents the BenefitsPlace opportunity for us to add more value to consumer and monetize the opportunity. The really cool thing about our model now is, we now have leveraged on both ends of the model where the compounding effect comes in and we have both the lives and average revenue per unit. From an ARPU perspective, we have more products than ever before. We have a really good sense on what's going on with the consumer experience of a whole range of products as we look at that. So we feel very, very good, well positioned for the back half of the year, and we're exactly where we thought we would be. As we look at the second half of the year, there's three main things that we look at to give us confidence in the back half. The first is our overall business growth, so just a reminder, a year ago in Q1 2018, we reported the signing of UTS, which represented over 200,000 net benefit eligible eyes on our platform. That revenue will begin to feather in Q2 and fall in Q3 and Q4. So we're seeing a ramp up in our MRR due to that very significant customer. As we look at the other factors in the back half of the year, we see the number of lives that are critical, our Q2 selling season is really important to us and we feel really good about the pipeline, we really feel good about what we're seeing in the marketplace. In fact, if you look a year ago, we just announced our broker strategy. Today, we have over 300 premier brokers, who are partnering with out on the field to add lives to our platform and working hand in glove with them. And when you look basically a year ago, we didn't have any of that. So that's really helpful and that will prove to be very helpful as we look at life expansion. And the last is our ARPU growth. If you look at our full year, Q4 is when the vast majority of people enrolling our platform. When they enroll in our platform for specialty products, that's when we receive our revenue. We have way more products available today than when we did a year ago period. We understand the consumer buying habits and we're using that to position us very well for the back half of the year. So all those different factors gives me high confidence in the second half of the year and beyond.
Brian Peterson: Got it. Thanks, Ray. And just for a follow-up. Jonathon, it's been a pleasure working with you. I'm a little surprised by the news, I don't know if there's anything more you can share? And, Ray, any timeline on when you think about naming a permanent replacement? Thanks, guys.
Ray August: Yes. I'm really sorry to see Jonathon go. We really enjoyed working together. He accomplished a lot in our two years together, consistent performance, we have transformed this company, so it's a new place in terms of our overall strategy and financial performance. One of the things we really proud about Jonathon is, he's leaving our finance function much better off than when he joined it. We have strong leaders in place, we have a strong finance team. And as we go forward, we will be able to build on that foundation and add a new CFO to the overall mix. At some level, as the CEO, I'm excited about hiring my first CFO to work closely with that individual and I'm sure that individual will have the kind of impact that Jonathon had on our business. but we're going to miss Jonathon and...
Jonathon Dussault: Thanks, Ray, I appreciate that. And, Brian thanks for the commentary. As you guys can imagine, decisions like this are not easy to come to. But with that said, I'm very committed to ensuring that there is a very seamless and successful transition in the short term with Lou Anne, beginning on June 1. As Ray mentioned, our partnership between Ray and I has been very strong, and it will continue to be that way, but very importantly, as I look ahead for the company, I'm very confident that strength of the finance team, the strength of the fundamentals of the business and, importantly, the strength of the strategy. I believe in the strategy and look forward to seeing the continued success of the company.
Brian Peterson: Thanks, guys.
Operator: Our next question is from Ross MacMillan from RBC Capital Markets. Please go ahead.
Ross MacMillan: Thanks so much. I just wanted to touch on the organic net lives. I think those were about $200,000 this quarter, which I think would be down even excluding UTS deal in the comp, so if we kick it out of last year, it'd still be down. And I think this the second quarter in a row that we've been down in year-over-year and I know that Q4 and Q1 are not key to the selling season, but I wondered if you could just talk to your conviction on live data as we go into the key season? And then also any color on how we should think about – what is the plan on that total net benefit eligible lives exiting this year? Do you have a, kind of, number or range that you could share with us in terms of where you hope to end up for the year? Thanks.
Ray August: Yes, Ross. Just to paint the picture. If you look at our full year, we have four seasons in which we operate our business. In the first quarter, our typical focus is bringing new products onto our platform for our consumers to purchase and also releasing new enhancements, which allows us to improve the experience in the upcoming OE season. Q2 is really focused on selling, adding lives to our platform and that continues into the beginning of Q3. At the end of Q3, we then begin the Open Enrollment process and Q4 is when we do the vast majority of our Open Enrollment, which drives our BenefitsPlace revenue. If you look at Q1, Q1 is typically a very slow period for lives growth in our industry. If I compare our results, we added 2.2 million lives on our platform, over 25 million lives now are part of Benefitfocus family, over 15 million net benefit eligible lives. That's an increase of 31%. Everyone of those lives, regardless where they come from, is an opportunity for us to expand ARPU and offer BenefitsPlace products. Like click down on that, there is 2 million lives that brought to us through the Connecture acquisition, which will be monetizing throughout the end of 2019 and into 2020, but there's 200,000 net benefit eligible lives that we added in Q1. If you compare that growth, a year ago, we added 13% net benefit eligible lives. This year we added 14% year-over-year, so our net benefit eligible continue to grow and that's even when you take into account UTS, which has over 200,000 net benefit eligible lives. So we feel very good about our lives growth and especially when you take it out – when you take UTS out over the previous period, we're really excited about all the lives that we're getting from the Connecture acquisition too, because we believe that produce value for the consumers and everybody on the platform. As we look at going into Q2, the busiest part of our selling season, one of the things that gives us a lot of optimism and focus is the fact that we're now partnering with 300 different premier brokers. A year ago, we are just getting started with our brokers and the fact we've tripled the number of brokers that we're working with just from our last earnings call. So working together with these brokers, we believe that will be a catalyst to lives growth both in Q2 and Q3 as we go forward.
Ross MacMillan: That's helpful. To that trend line of teens growth that you said, I think, 14%, that could be the way to think about maybe a baseline for the lives growth?
Ray August: Yes. Because of the trending in our seasons, we know it's always important for us to look year-over-year, because there's such a vast difference in what happens in season. And so, that's how we look at it.
Jonathon Dussault: And, Ross, one thing I'd add there too, if you think about the model and our focus and emphasis on adding lives and driving ARPU and taking the two into account, the lives are an important part of driving that engines, but as we drive the ARPU expansion through BenefitsPlace, you can see how the buildup can occur get to our long-term targets of 20% plus sustainable growth.
Ross MacMillan: Yes. Okay. Thank you. Maybe one to follow-up. Just on Mercer, just so we understand that, in terms of the seasonality you mentioned, Jonathon, that some going to come out of 2Q, I wondered if you could just maybe – the specific alternative waiting of how that Mercer revenue comes out the model this year? Thank you.
Jonathon Dussault: Yes. So there's a couple of things going on in Q2 from a revenue perspective. We mentioned the headwinds of Mercer, there's also just some intra-year timing of professional services between the quarters, some of which is going to land later in the year than in Q2. And, of course, we've talked in the past about the larger enterprise deals like UTS with a longer implementation processes than a typical smaller direct-to-employer deal. All of that plays into Q2 and then the second half of the year. But specific to Mercer, clearly we have the terms of the new commercial arrangement with – which we've talked about in prior discussions that we're feeling that in Q2 the headwind that we're making that strategic investments there for the long-term benefits of increasing [ph] that we strongly believe will occur. There's also some variable accounting noise in Q2. You may recall, last year Q2, we had some incremental revenue come in with our variable accounting associated with Mercer creates a tough compare this year, year-over-year. And that's another reference point as we think about the Mercer impact in the quarter.
Ross MacMillan: Okay. In Q2, the quarter on a year-over-year basis, we have the biggest headwinds from the Mercer changes and take us to some of the components? Okay.
Jonathon Dussault: Yeah.
Ross MacMillan: Okay. That's super helpful. Okay, thank you. And, Jonathon, it's been great working with you. I know we'll probably see before you depart, but thanks so much for all the help.
Jonathon Dussault: Thank you, Ross. I appreciate that comment. Likewise too, by the way.
Operator: Our next question is from Jamie Stockton from Wells Fargo. Please go ahead.
Jamie Stockton: Hi. Good evening. Thanks for taking my questions. I guess, maybe to start with, if we could talk about the sales leadership change given Jonathon leaving, I'm sure that people are going to kind of focus on both these to some extent. I guess, I would ask if you could give us some color on kind of how deep the bench is within kind of the sales management. I mean, I know you guys have named Peter Allen has, kind of, a new Head of Sales. But underneath him – can you give us any color for what the team looks like there? How stable it's been? How good you feel about the ability to execute on the selling season with the kind of leadership changes there? That'd be great.
Ray August: Yeah. Thanks for that. As we look at Rob transitioning out of our company. Very sad to see Rob go, really enjoyed working with him as part of our overall transition and he was a great asset to our company. And if I look at what Rob did, he went for a much bigger job, he became the CRO of a publicly traded company, which is about $2 billion of revenue, several thousand salespeople with a global footprint in over 40 different countries. And that was what Rob aspire to, is to work for a large global organization, so wish him very well, he'll do a terrific job for them. As a company, one of the things that we're really proud of is, the number of executives that we're tracking to our company, lots of people, a material number of Vice Presidents and Directors have joined our company since last year that really speaks to the attractiveness to Benefitfocus and the attractiveness to our strategy and our financial position. Having strong leaders in place to join our company enables us to be well-positioned for any management changes. So in Rob's case, within – very quickly, within days we appointed Peter, who have joined our company and Peter is an extremely strong individual. Peter has led a very, very significant sales organization, been the CEO of a publicly traded company and has a vast, deep knowledge and understanding on how to drive a significant sales force at scale. So, what Peter is done is, he's inherited a very strong organization from Rob. One of the great things Rob did was, he created this multi-dimensional sales model to deliver on our strategy and in every single part of the business we have a very strong sales leader in place. Peter has come in and immediately taken that to the next level, working with those teams, prosecuting the deals that we have out there and is just moving in with a high rate of momentum and really excited about the work he is doing and given the fact that I have worked with Peter in the past that I have the utmost confidence in his ability and I'm seeing his knowledge and his skill really have a strong impact already in just a few weeks he's been in that role.
Jamie Stockton: Okay. And then maybe just one other question. On the Connecture business, I think you guys kind of implied that it would contribute mid-single-digit growth this year, so maybe $12 million or $13 million. From a revenue standpoint, I guess, is that still – now that you kind of have ownership of that business, you probably have a little more time to grind on the numbers, do you feel like that's still a solid assumption, maybe can you talk about the cadence of that? I mean, are we basically not getting a lot in Q2, because of purchase accounting adjustments or something like that? Or you're having to stomach the brunt of the expenses anyway, just anything on that would be great?
Ray August: Yes. We're really excited about what we're seeing with the Connecture assets that we acquired. As we've talked about, we're adding 2 million lives through our platform and we see those to be highly synergistic where every one of those lives is the heartbeat or an individual that we can improve their lives by offering to them BenefitsPlace products. Overall, the amount of software assets that we also acquired and the deep customer relationships are going to prove beneficial for us. One of the great assets that Connecture has is, their core technology will be part of the marketplace that we will have for individuals, typically going to focus as group marketplaces for both carriers and employers and individual marketplace. And a good example of that is our partnership with USAA, where USAA uses our individual marketplace to provide benefits to the association members for USAA. We see that as a real strategic and an important launch point for us, where we can monetize individuals on our platform as well as the groups that we're providing. Just to give you an example, on our platform today are 25 million plus odd consumers on our platform, traditionally about 3 million of those individuals terminate from their place of employment in a given year. In the past, those 3 million lives they would go off and they would leave the Benefitfocus family and if we are lucky, they will come back to Benefitfocus employer. With the individual marketplace that we'll be rolling out and leveraging the Connecture technology, we'll be able to capture all those 3 million lives, put them into an individual marketplace and whether they're being part of the key economy, retiring, or going onto their next endeavor, it will allow us the opportunity to provide products to them, to improve the lives of those individuals wherever they are in the overall lifecycle. Another great advantage of Connecture is, when we combine our assets and the Connecture assets, we serve 75% of the Blues plans in the U.S., the Blues plans, as you know, insure about one-third of the medical population in our country. And having those deeper and richer relationships with the Blues will only drive improved performance for us and improved revenue opportunities for us, and improved value for those companies. So we really see the benefits of Connecture to be synergistic, where we'll be able to provide BenefitsPlace products, we'll be able to stand up for our individual marketplace, and we'll also be able to get closer to the Blues plan. So it's been a very positive acquisition.
Jamie Stockton: Is there any commentary on the actual revenue contribution this year?
Jonathon Dussault: Yes. So our expectations are consistent with our points when we had our Q4 call. We'll be supplementing Q1. Obviously, we have one month's worth of contribution consistent with expectations and we are still feeling comfortable with what we discussed previously.
Jamie Stockton: Okay. Thank you.
Jonathon Dussault: Thanks, Jamie.
Operator: Our next question is from Nandan Amladi from Guggenheim Partners. Please go ahead.
Nandan Amladi: Hi, good afternoon. Thanks for taking my question. So as you grow out your broker network, how dependent are you on for the growth in the lives metric, on brokers versus your on-direct sales efforts to both carriers and enterprises?
Ray August: Yes. The way we look at brokers on our network is, not either/or. If you look at the value stream and what's happening in the Benefit's world today, brokers are the primary seller solutions to the ultimate employers, they provide guidance, they provide wisdom, they provide recommendations on platform and the data that we've seen is in north of 80% of the time that broker recommends the ultimate platform. In the past, when our company was not working closely with brokers, they still are part of the equation and it became a headwind for us in the past years, so we really can't look at it as with brokers and without brokers, we reorientated our entire sales force to – on every single deal where there is a broker involved, we work with that broker to prosecute the opportunity, make sure the employer has the benefit of all the knowledge of us and that broker to provide the best solution for their company. So we really see it as the exponential increase of our ability to drive lives and our ability to drive the overall solution. And if you think about it, we have 300 premier brokers that we're working with today. Every one of those people is out on the street everyday working with their prospects for their customers. So it really provides a tremendous amount of leverage for us. We're really focused on making sure that we give the brokers exactly what they need to be successful. The way we look at it, the brokers, we need to make sure that their customers are highly satisfied, but we also have solutions to serve the brokers. We work closely with them. We plan with them and next week in Chicago we're having our first ever Broker Place, where brokers from around the country are coming together with us with the leadership of Benefitfocus and we'll be talking about how do we plan for this selling season, how do we work together to drive more products into their customers to make sure that they successful going forward. So, they're part of the family and they are essential to what we do.
Nandan Amladi: Thank you.
Operator: Our next question is from Chris Merwin from Goldman Sachs. Please go ahead.
Kevin Kumar: Hi. This is Kevin Kumar on for Chris. Thanks for taking my question. How should we think about the magnitude of increases in the participation rate for BenefitsPlace in 2019 versus last year's just given the introduction of lot of newer products and broadening of the platform?
Ray August: Yes. As we look at BenefitsPlace participation, from our perspective, there's a couple of different ways to look at it. So this year, in the same period, we had nine different BenefitsPlace products that we've offered, nine different companies that offer BenefitsPlace products to our consumers. Today, we have 43, a 11 BenefitsPlace on a carriers and that's a who's who list of companies that really proud to be associated with. So we have a tremendous amount of more products that we offer to the market. The other thing that we look at is based on our one-year dataset we have now. So for the past year, we've been doing this. We went through the Q4 selling season as we have a very accurate and specific analytics on buying behaviors of individuals, what they buy, what they don't buy, what the trades of the cohorts are and we've actually built an entire suite of something we call BenefitsPlace Insights, which is part of our BenefitSAIGE, our artificial intelligence suite. And that gives us information on what people need, what they typically buy and as part of BenefitSAIGE we have something called Smart Moments, in which it allows us to reach out to our consumer what we call a moment that matter. So if a child is 26 years old, we have a notification and an email sent to that individual to remind them that you're aging out of your parents' insurance policy and you better go select another medical product, or somebody who is beginning to drive or somebody who just had a baby, all those moments that matter is a point of interaction for us and point of differentiation where we could contact that individual and really drive participation. So if we look at more products, more lives, Insights and consumer buying that we really focused on and when you add that to One Place, we rolled out an entire suite of products where we're investing in the consumer experience, whether it's the next generation mobile app, we take all those things together and we feel very good and very confident about the activity that we're going to see the back half of this year and we believe we'll see growth not only in placement products with our customers, more products, but also increase in participation rate. And I would – It's also important to have that, if you look at the participation rates on our platform that were two to four times the industry average. So even before we did all the stuff we're seeing a whole lot of increased in participation versus what others are saying.
Kevin Kumar: Great. That was helpful. And then a follow-up, regarding the profitability beat, you noted timing of certain investments drove the portion of that beat, can you talk a bit about what investments got pushed out?
Ray August: Yes. There's a slew of things across the organization that really are just between Q1 and Q2. Some of it just ramped up with some staffing investments that we're making across the organization, and you'll see that, Kevin, coming in Q2 where our guidance on EBITDA is a – probably likely a little bit lower than expectations and some of that has to do with the timing of those investments coming into Q2.
Kevin Kumar: Great. Thank you.
Ray August: You're welcome.
Operator: [Operator Instructions] Our next question here is from Steve Halper from Cantor Fitzgerald. Please go ahead.
Steve Halper: Yes. Hi. Just a quick balance sheet question. What was the reason for the sequential decrease in the property and equipment line from the December quarter, about – from $70 million down to $27 million. Is it something to do with your right-of-use assets?
Ray August: Yes. I think if you factor in a combination of Connecture and the adoption of lease accounting, we had a fair amount of activity in our balance sheet here in Q1, and so the combination of those factors is going to contribute to really all of the variances that you see in the balance sheet.
Steve Halper: Yes, thank you.
Ray August: You're welcome.
Operator: Our next question is from Dan Ives from Wedbush Securities. Please go ahead.
Dan Ives: Yes, it's more a strategic question. I mean, you said some of them even more directly. What do you think, if we go through the next six to nine months, is maybe the biggest challenge, but there on the other side maybe the biggest opportunity, maybe you could just hit both of those? Thanks.
Ray August: Yes, and thanks for that. We see it – as all as opportunity and making sure that we're focused on the opportunity and mitigating any risks that we have. But – and we're really excited about this 25 million consumers on our platform and our opportunity to help provide them and improve their lives, providing products for their family and driving increased activity with every single life on our platform. One of the things we've talked about in the prepared comments is, if you look at BenefitsPlace, last year in BenefitsPlace we only targeted BenefitsPlace's opportunities to our employers. This year, we're also going to work with medical carriers and offer BenefitsPlace products to them. And as we've talked about in the past, there's actually more net benefit eligible lives with the medical carriers than there is in the large employer marketplace. So we had a very transformative deal this quarter in Q1, which we are working with a Blues plan and the Blues plan is now offering BenefitsPlace products to all their members. This kind of opportunity, which doesn't impact net benefit eligible lives at all in the short-term, what it does is it creates an ARPU catalyst where we expand the revenue for this carrier and their customers for the carrier, it's a situation where they win, they are now offering a robust set of benefits to everybody in their company and we see that there is something that we're going to expand and we're working with many of those plans around the U.S. with opportunities. So we're really excited about expanding ARPU opportunities and product opportunities to all these Blue plans that we work with and with 75% market share of the Blues plans we have deep richer relationships with many of them. So, we see that as just great opportunity.
Dan Ives: Okay. Insightful. Thank you.
Operator: Our next question is from Nina Deka from Piper Jaffray. Please go ahead.
Nina Deka: Hi. Can you describe your go-to-market strategy and your plan to expand further into medical carriers such as Blue Cross that you just mentioned? Do you need more of that people or will you get to leverage existing teams?
Ray August: Yes. No – thanks, Nina. As we look across our platform strategy, we are very focused in every role in the entire benefits value chain, whether it's to our associates, whether it's consumers, whether it's employers, medical carriers, brokers, specialty providers and other sellers, and one of the great things that we're seeing is with the strong leadership that we have in our sales organization, we have a team focused on working with these medical carriers to expand this opportunity. We actually added to that talent pool with the Connecture – with the Connecture asset where we brought over many people who know the medical carrier segment. So that gave us capability both in sales, service, and development. One of the really exciting things is happening, however, is a network effect of our offering. So by virtue of the fact that people are hearing about BenefitsPlace is creating opportunities for brokers, brokers are then going back to their medical carriers and voluntary providers and say, hey, you have to be part of BenefitsPlace. We're actually seeing RFPs coming out from employers, asking about BenefitsPlace products. And when we take that with the 300 plus brokers, this network effect is in some ways, in addition to our expanded sales force that we have serving the medical carriers with the addition of the Connecture team, we have broker selling for us, employers selling for us, and so the medical carriers see that and want to be part of the Benefitfocus family. So, the network effect is in full speed and it's helping our sellers solutions.
Nina Deka: Great. Thank you for that. And also I have – I just wanted to wish the best of luck to Jonathon, it's been really fun working with you and congrats to you on a good quarter.
Jonathon Dussault: Thanks, Nina.
Operator: This concludes the question-and-answer session. I'd like to turn the floor back to Mr. Ray August for any closing comments.
Ray August: Yes. Thank you, and thank everybody for joining our Q1 earnings call. In summary, we have demonstrated sixth consecutive quarters of strong performance. We've grown significantly the number of net benefit eligible eyes on our platform by 31%. We're well positioned for future accelerated revenue growth and ARPU expansion in the second half of the year. We're really pleased with our solid start to 2019 and as we enter our selling season, we have a very strong foundation for future growth. So this concludes our call.
Operator: This concludes the teleconference. You may disconnect your lines at this time. Thank you again for your participation.